Chris Manuel - Vice President of Investor Relations:
Andres Lopez - President and Chief Executive Officer:
John Haudrich - Senior Vice President and Chief Financial Officer:
Operator: Hello, everyone, and welcome to the O-I Glass Full Year and Fourth Quarter 2023 Earnings Conference Call. My name is Emily and I'll be facilitating your call today. After the presentation, there will be the opportunity for any questions. [Operator Instructions] I'll now turn the call over to Chris Manuel, Vice President of Investor Relations. Please go ahead.
Chris Manuel: Thank you, Emily, and welcome everyone to the O-I Glass year end and fourth quarter 2023 earnings conference call. Our discussion today will be led by Andres Lopez, our CEO and John Haudrich, our CFO. Today we'll discuss key business developments and review our financial results. Following prepared remarks, we will host a Q&A session. Presentation materials for this earnings call are available on the company's website. Please review the safe harbor comments and disclosure of our use of non-GAAP financial measures included in those materials. Now I'd like to turn the call over to Andres, who'll start on Slide 3.
Andres Lopez: Good morning, everyone, and thanks for your interest in O-I. We are pleased to announce a strong 2023 results. Full year adjusted earnings were $3.09 per share as results improved significantly from the prior year and exceeded our most recent guidance. O-I is now a more disciplined and agile organization that is capable of navigating elevated market volatility. We again demonstrated our improved operating effectiveness, as we posted the highest adjusted earnings in the past 15 years and finished 2023, with the best balance sheet in nearly a decade. Likewise, we achieved a strong net price, record margin expansion initiative benefits and the best manufacturing trends in more than two decades. These efforts more than offset the impact of lower shipments as macro conditions softened over the course of the year. We anticipate 2024 adjusted earnings would lag our historically high performance last year, given the continuation of softer macros into the first half of the year. However, we believe the most challenging market conditions are behind us, as we are beginning to see early signs of improvement. Importantly, we have already completed most of our annual price negotiations and we expect to retain the lion’s share of the strong net price achieved over the past few years on our strong track record, we are confident our 2024 margin expansion benefits will surpass last year's record savings. Overall, we expect a stronger demand, significant initiative benefits and favorable operating performance will provide O-I good momentum as market strengthened over the course of the year. Our business capabilities are strong. Our talent base is solid. Our culture is focused on agility, performance, and delivering on our commitments. Importantly, we anticipate a stronger future earnings as both sales and production volumes more fully recovered, which we will discuss a bit later in our remarks. We continue to consistently execute our strategy, which includes investing in long-term growth, and developing breakthrough technologies. After several years of R&D, we will ramp up our first MAGMA greenfield site in mid-2024 to serve the growing spirits business in the Kentucky area. Customers, investors, and employees will have the opportunity to see firsthand, the first benefits of this new technology. In parallel development of our Generation 3 MAGMA solution is going well and we expect to deploy our first Gen 3 site in 2025, with commercialization in early 2026. We are very excited about the long-term future for O-I, as we aim to disrupt the glass industry. According to Page 4, less review of all the market trends, which are key to understanding our recent and future performance. As discussed last quarter, we faced a unique set of circumstances throughout 2023 leading to lower shipments of glass containers. Initially, this was driven by moderately lower consumer consumption followed by significant inventory of stocking across the food and beverage supply chains. We have updated the chart on the right with our shipment trends through the four quarter and the most current Nielsen retail data. It also includes our current expectations for future consumption and glass shipments in 2024. Looking at this past four quarter, we anticipated glass shipments will be down 12% to 15%, yet actual shipments were down 16%, reflecting some acceleration in the stocking activity across the value chain. With that said I'm encouraged by early signs of recovery and believe the worst is behind us. Let me share a few of the reasons for this initial optimism. First, consumer consumption trends have a steadily improved over the course of 2023, as you can see with the green bars on the chart, while some categories still have challenges, consumption trends have turned positive in the year and NAB categories in many markets. Importantly, we have seen little change in market share or shift to other substrates except for some modest and temporary trade down limited to Beer in Eastern Europe. According to Nielsen data, Glass has actually gained share versus Cans in certain categories in Brazil, Colombia and the Netherlands. Next, we believe the worst of the stocking is done, especially in beer and NABs, while wine and spirits might linger into 2024. As an example, we have included a federal reserve chart in the appendix that illustrates the declining wholesale inventories for alcoholic beverages in the U.S. Overall, Glass entered the stocking phase behind many other industries, which have already started to see a rebound, which provides additional confidence. Glass will indeed improve this year. Demand for new product development has also surged over the past few months as many customers look to rock -- jumpstart their brands. Currently, we are working from a backlog of over half a million tons of qualified MPD projects. Finally, glass demand trends improved in January as shipments were down about 10% compared to a 60% decline in the four quarter. In conclusion, these factors support our belief we have passed the bottoms and are increasingly confident in the low to meet single-digit volume growth in 2024, with additional improvement in 2025. Now, I'll turn it over to John, who will review our performance and 2024 outlook in more detail starting on Page 5.
John Haudrich: Thanks, Andres and good morning, everyone. Building off previous comments, O-I reported historically high earnings in 2023, with favorable performance across most financial measures. Sales improved to over $7.1 billion both EBITDA and segment operating profit increased more than 20%, while segment margins increased 280 basis points to over 17%. As noted, adjusted EPS exceeded our most recent guidance and represented the highest adjusted earnings since 2008. Free cash flow was $130 million, which slightly exceeded the midpoint of our guidance range. As expected, cash flow was down from 2022 levels, primarily due to elevated capital spending as part of our long-term expansion program. Finally, leverage ended the year at 2.8x, which was below our target. Strong 2023 performance highlights the company's improved agility and capability to manage through challenging market conditions. Our foundation is sound and we are well positioned to drive higher performance as demand improves over the course of 2024. Next, I'll expand on our full year earnings performance starting on Slide 6. 2023 adjusted earnings totaled $3.09, which represented a 34% increase from the prior year results. As illustrated on the left higher segment profit boosted earnings, which was partially offset by non-operating items, principally higher interest expense. Segment operating profit totaled nearly $1.2 billion and increased more than $230 million from the prior year, as results improved in both the Americas and in Europe. And the Americas segment profit was $511 million as earnings increased 8% from 2022. Strong net price boosted results, while earnings reflected 10% lower shipment levels as growth in NABs and RTDs mitigated softer demand in other categories. Operating costs were elevated as the benefit from our margin expansion initiatives partially offset the impact of higher production curtailment to balance supply with softer demand, as well as additional commissioning costs for expansion projects in Columbia and Canada. Europe posted a segment profit of $682 million, which was up 40% from last year. Strong net price in a slight FX tailwind more than offset the impact of 15% lower sales volume as shipments were down across nearly all markets given widespread macro pressures. Likewise, operating costs were up due to elevated production curtailment to balance supply with softer demand. Overall, the company posted very strong 2023 results despite significant market volatility in challenging macro conditions that emerged over the course of the year. Let's discuss fourth quarter results on Page 7. As expected, fourth quarter results were down from the prior year given market pressures that were most pronounced in the back half of the year. With that said, fourth quarter adjusted earnings of $0.12 per share exceeded our original guidance of approximately $0.03. While shipments were down 16% from 2022 levels, which was softer than expected. Cost and operating performance surpassed our expectations. Likewise, results did benefit $0.02 from a modestly lower tax rate. As illustrated on the left earnings were down from $0.38 last year due to lower segment profit and unfavorable non-operating items, including elevated interest expense, which was partially offset by favorable FX. Overall segment profit declined $38 million as performance improved in the Americas while earnings were lower in Europe. In the Americas segment profit was $93 million, up 12% from the prior year, strong net price offset 12% lower sales volume, 10% lower sales volume and elevated operating costs linked to capacity curtailment efforts. In Europe segment profit was $75 million compared to $123 million in 2022. Strong net price partially mitigated 22% lower sales volume and significantly higher capacity of curtailment efforts, which were concentrated in the fourth quarter. As noted in our press release, O-I did take a sizable goodwill impairment charge in its North America operation during the fourth quarter. While we saw solid operating improvement in 2023 this adjustment primarily reflected changes in macro conditions, resulting in lower sales volume and a smaller operating base following recent restructuring activities. Likewise, valuation was negatively impacted by higher weighted average cost of capital, given elevated interest rates. We remain highly confident in our current plans to further boost operating performance in North America that will generate significant future value. In addition to generating strong earnings, the company continued to advance its long-term strategy over the past year. On Page 8, you can see how 2023 results compared to the key strategic objectives we set at the beginning of the year. We significantly exceeded our margin expansion objectives due to very strong net price realization and initiative benefits. We continue to position the company for long-term profitable growth. Our expansion projects in Canada and Colombia were completed both on time and under budget. As Andres highlighted, our first MAGMA greenfield line remains on target for mid-2024. As noted, we have deferred a few expansion projects a couple of quarters to better align with the timing of the expected market recovery. All MAGMA and Ultra development efforts remain on track, and we successfully qualified our first Ultra bottles in Colombia in the past year, which paves the way for future Ultra deployment. We also updated our long-term ESG plan, which is aligned with our science-based targets and is now fully incorporated into our business strategy and into our future capital allocation plans. Consistent with prior comments, the capital structure is sound with elevated -- with leverage ending below our 2023 target. Overall, we posted solid progress in 2023, which will provide tangible benefits in the future. Let's discuss our 2024 business outlook starting on Page 9. Revenue should be up modestly as low to mid-single digit volume growth more than offsets a slight decrease in average selling prices. We anticipate adjusted earnings should range between $2.25 and $2.65 per share. Importantly, earnings should meet or exceed the 2024 goal established at our last I day, reflecting significant operating progress and earnings improvement over the past three years. Our guidance range is wider than normal, reflecting the potential rate of market improvement and we intend to tighten the range over time. As you can see, results will likely be down from historically high earnings in 2023, while free cash flow should improve from the prior year. I will discuss earnings and cash flow trends more on the next page. Having significantly improved our balance sheet over the past few years, we intend to maintain a healthy leverage ratio of between 2.5x and 3x. As we look to 2024, we expect macro conditions will strengthen over the course of the year. Importantly, we have significant future earnings upside as both sales and production volumes will fully recover. This recovery will provide additional sales contribution and boost asset utilization rates, as we eliminate the overhang of very expensive temporary production curtailments. Over the course of 2023 and 2024, we are navigating many market forces that are affecting the evolution of selling prices, sales volumes, and production volumes. As such, it can be difficult to assess financial performance in any given quarter or fiscal year. However, we are confident in earnings will ultimately rebound to over $3 per share, as macros normalize in sales and production recover to pre-pandemic levels in the future. Turning to Page 10, we have provided more details on the key business drivers for both earnings and cash flow. As illustrate on the left, we expect 2024 earnings will approximate $2.25 to $2.65 per share. The impact of lower net price and higher interest expense will be partially offset by low to mid-single digit sales volume growth and the benefits from our robust $150 million margin expansion initiative program. Lower net price will likely reflect about a 1% decline in average gross selling price amid a more normal 3% cost inflation environment. Yet we do anticipate retaining about 75% of the very favorable net price realized over the previous two years. Going forward, we intend to provide only annual guidance given elevated short-term market volatility and preference to focus on long-term performance. With that said, we have included our current view on expected quarterly earnings distribution over the course of the year, and we'll update this view if conditions materially shift over time. On the right, we reconcile our EBITDA and free cash flow outlook. EBITDA should range between $1.325 billion and $1.4 billion. Currently, it is unclear if working capital will be a modest source or use of cash, as this will depend heavily on the rate of sales volume recovery over the course of the year, and reduction in currently elevated inventory levels. CapEx spending will be down from elevated levels in 2023, yet we do anticipate tax and interest payments will increase by $120 million combined. Higher tax payments follow strong earnings in 2023, as well as a one-time tax claim settlement in one jurisdiction. Higher interest reflects the forward curve and current payment schedules following recent refinancing activities. Other uses of cash are pretty consistent with historic trends. Overall, we expect free cash flow will range between $150 million and $200 million in 2024. As with earnings, there is significant operating leverage upside as volumes recovered that should generate higher future cash flows. Let me wrap up with the key strategic objectives that we have set for 2024. Long-term margin improvement remains a top priority and we intend to stay agile as the company navigates changing market conditions. We have established a very robust margin expansion program to help mitigate most of the expected net price headwind. As noted, we are targeting at least $150 million of benefits, which represents the highest objective in the eight year history of this program. As a reminder, the three buckets for this program are revenue optimization, factor performance and cost transformation. Importantly, efforts include accelerating the ongoing network optimization across North America. As already noted, 2024 will be a hallmark year as we commission our first MAGMA greenfield site and advanced development of our future Gen 3 solution. We also expect to enable other expansion programs in attractive geographies and markets over time, as they recover. Likewise, we intend to deploy our ultra lightweighting solution at a couple of our sites in Europe this year. In addition to lightweighting, we will enable our ESG footprint by accelerating deployment of low carbon solutions such as gas oxy fueled furnaces and increased renewable energy and call it utilization rates. It'll be another active year as -- on the glass efficacy front as we focus more on B2B connections. After significantly reducing our leverage over the past several years, we intend to maintain a healthy balance sheet with leverage between 2.5x and 3x. As you can see, we have established another set of aggressive but achievable key objectives in 2024, as we advance our long-term strategy. Importantly, our capital allocation priorities are well aligned with the strategy as we continue to improve our capital structure, fund profitable growth, and return value to our shareholders over time. Now, I'll turn it back to Andres for final remarks starting on Page 12.
Andres Lopez: Thanks, John. Over the past several years, we have significantly transformed the company and we're now a much more disciplined, agile and capable organization. As a result, we have significantly improved performance and delivered on our commitments quarter after quarter. We again demonstrated our improved operating effectiveness in 2023, as we successfully weathered difficult macro conditions that developed over the course of the year, reporting the highest adjusted earnings since 2008 and finished the year with the best balance sheet in nearly a decade. As a result, we are entering 2024 with a solid foundation and are well positioned to capitalize as markets recovered over the course of the year. We have completed more than 80% of our annual price agreements and expect to retain approximately 75% of the very favorable net price achieved over the past few years supporting adequate returns. Consumer demand is trending in the right direction and our customers are increasingly more constructive on their business outlook. We are seeing early signs of improvement with good sequential volume improvement in January. Likewise, we are working with the strongest MPD pipeline I can remember to help drive future growth. As discussed, we expect demand will recover over the balance of the year, and O-I has a significant operating levers as sales volume normalized to pre-pandemic levels. Importantly, execution is already underway on our aggressive but achievable margin expansion initiative target, which is the highest in the programs a year history. We are confident we will deliver on this target given the capabilities we have built over the years and the maturity of our program. Our balance sheet is the healthiest in years, reflecting very good capital allocation discipline. And finally, 2024 will be a key milestone for O-I as we commission our first MAGMA greenfield site later this year and continue to advance the R&D efforts for MAGMA Gen 3, as well as developing Ultra. Business conditions are beginning to turn in our favor, and I'm confident our earnings should bound to greater than $3 per share as volumes normalize to pre-pandemic levels over time. Thank you, and we're now ready to address your questions.
Operator: [Operator Instructions] Our first question comes from Ghansham Panjabi with Baird.
Ghansham Panjabi : I guess, first off on Slide 10, where you have the EPS waterfall ‘23 versus ‘24, net price looks like about a $0.85 or so negative on an EPS basis. Just wondering, how set that number is, is there short variability associated with it? And also will this be a multi-year issue? And then maybe you could just give us a sense as to the big question, right, which is supply demand on a global basis. The industry obviously had some disruptions in Europe, new capacity started coming in, where we are on supply demands and how that relates to pricing on a multi-year basis.
John Haudrich: Maybe I can kick that off and address the first two elements of that. As you take a look at the net price, you know, texture for 2024, what you have in there is the combination -- we got two books of business. We got our long-term contracted business a little bit more than half of our business, that's pretty much the pricing that is secure and in place. The other call it 45% of our business tends to be open market contracts. And as Andres mentioned in his prepared remarks, we're about 80% plus compete and negotiating in that environment. So Ghansham, I would say that we're getting written very close to being in the position on the gross price situation. And as we mentioned in the prepared remarks, gross price is probably off 1% this year after a strong double-digit improvement over the last few years. And then what you're left with then is inflation. And so inflation we've been seeing coming down, I mean, last year was kind of mid-single digits, we're targeting about 3% this year, so that kind of gives you something in $125 million to $150 million range on cost inflation. We see the majority of our cost inflation now being labor related inflation, which I think is pretty set, given contracts and unions and things like that. But you could see some variation in the remaining component. So hopefully that gives you a little bit of texture about the solidity of the net price, which we think is fairly solid in that regard.
Andres Lopez: Yes, the pricing evolution has been quite positive and in line with our expectations with slightly more than 80% of the open market agreements already negotiated. We are retaining about 70% --75% of the benefits that we accumulated over the last couple of years. Now, we're doing that at the lowest point in volume, from this point on through 2024 and into '25 volumes will go up, which we believe will support price even better. When we look at supply and demand in a global basis, first, O-I is balanced. And at this point in time, we're taking all the measures to be able to achieve our inventory targets in 2024, taking into consideration the demand projections that we have. If there is need for more action, we'll adjust, but we believe we are in a good place. When we look at the global landscape, we are seeing lots of curtailments taking place around the world. In Europe in particular, where they -- it is required the most we're seeing a lot of actions in that regard. So the balance is going to depend on how quickly that demand, that capacity comes back to support demand. But at this point in time, with the amount of curtailments we see, we're seeing a trend towards balance of supply and demand in Europe and globally.
John Haudrich: Just to build maybe one comment on top of that is if you look back at the history of this company, we have actually very good pricing power. If you look in the previous six years, five of the six years, we had achieved positive net price. And so, we believe that as volumes as Andres talked about normalize, we will go back into that consistent history then of being able to price through inflation going forward.
Ghansham Panjabi: Okay. Very comprehensive. Thank you for that. And then your comments on January, down 10%. I mean, would be -- that would be an improvement. But here we are. Maybe just give us a sense as to your own inventory levels and then as you kind of think about the customer's inventory pods, if you will, are there any particular categories that are still going through an aggressive destocking cycle relative to the down 10% that you're seeing? Is it -- is it high-end liquor Cognac et cetera? Just any color there would be helpful.
Andres Lopez : Yes, so we're seeing the stocking activity pretty much done in beer and NAB and food. The categories that are still to complete that cycle are spirits and wine, which we expect will improve over the course of the second quarter and should be more normalized by the middle of the year. Our inventories obviously increased last year, and as I mentioned before, we are taking all the actions to bring those inventories back down as per our current business plan for '24.
John Haudrich : Yes, maybe just to build off that, and building on some details for Andre's comments there. If as we entered the softness that really was -- that occurred for us kind of January, February of '23, our inventories were probably too low. We had low 40s IDS on and we were stocking on, as you recall, back then we weren't able to serve a number of different markets. Our inventories ended 2023 at about 60 days IDS, which is a little higher than we would like. Over the course of 2024, we're managing our system to get back into the low 50s, which we believe is a pretty healthy place for the business.
Operator: The next question comes from George Staphos with Bank of America.
George Staphos: Thanks for the details. Maybe my two questions. First, we'll segue on the inventory comment that was brought up earlier. So when you say you expect to be done on wine and spirit inventory destock, or at least your customers will be done. So to what degree do you expect that having built up inventories to too high of a level within the supply chain that your customers will actually destock below what would be normal, below what would be sort of appropriate, but nonetheless means a another layer of volume decline or progression that you need to manage through? So that's question number one. What's baked in to your goals and forecast relative to customer's willingness or potential to have inventories lower than normal? The second thing on the $150 million of margin enhancement that you're projecting for this year, can you talk to what the buckets are in that 150 and what is sustainable on a going forward basis? In other words, how much longer can you keep putting up a $100 million or better types of margin enhancement over the next few years? Thank you guys and good luck in the quarter.
Andres Lopez : Yes, let me answer first the question on the margin expansion initiative. So there are three rockets, revenue optimization, factory performance, and cost transformation. They enabled year-on-year margin expansion in a multi-year period. So that's what we intended to do when we created this initiative. And our goal at the time was to have a solid process and capabilities in place, bottoms up and top down well articulated globally and all the way down to the shop floor. Now, we wanted to do that to be able to quickly and effectively identify projects, execute on them, and then replicate them across life. We have successfully on that, and that is what gives us the confidence that this is not only a multi-year program going forward, but that we can achieve the target that we find for this year of $150 million of revenue.
John Haudrich: And George, on your first comment, as far as the market appetite given the higher level of inventories in there right now, that's what we're specifically addressing right now. If you take a look in the fourth quarter, our capacity was down, our temporary curtailments equated to about 20% of our total global capacity. And in fact, it was probably skewed higher to that in Europe, where you see those longer supply chains such as wine and spirit. I think we are taking a category by category view and taking a look at that trying to understand the commercial components and considerations there to make sure that we're addressing things to get our inventories down in the right place by market by category going forward.
George Staphos: John, your fourth quarter inventory management basically is trying to keep in mind that your customers may go below normal, is that the right takeaway?
John Haudrich: Yes, exactly. I mean, we don't know exactly whether people are going to land, right, where they want to be, whether they will overshoot or undershoot, right? We had to be very dynamic and we would rather be quite aggressive on the front end like we were doing here in the fourth quarter to make sure that we're managing the inventories appropriately.
George Staphos: And within the [inaudible] and this is what I was getting at, what's in each of those three buckets that comprise 150 this year?
Andres Lopez : So in revenue optimization is primarily improving the quality of our revenue, making sure that we capture all the value as defined of our -- in our agreements. In the factory performance is all the productivity that goes up with the asset base and in the cost transformation is reorganization. It’s changing organization structure is making it simple, more effective, more agile and there is still a lot of potential in those three offices.
John Haudrich : And George to build off that specifically on some of the numbers there for the $150 million, we have about more than a $100 million in the factory performance component that Andres was talking about, that's the shop floor improvements and things like that. Understanding, probably half of that is restructuring activity, mostly focused in north, and that's substantially done, okay, or very late stages. So we're very comfortable with that. The next biggest bucket is what we call the cost transformation, which is the OpEx reduction. And we did complete a reduction in the force program in the fourth quarter. So that's providing the majority of that call it $30 million improvement. And so again, very comfortable with executing and achieving that. And then, the last component is a little bit on the revenue optimization. It's a little skewed differently in the past where maybe there's a little bit more revenue optimization going on when we were seeing that the stronger gross price realization in initiatives.
Andres Lopez : George, there is something I would like to highlight in previous calls, your adopted point of manufacturing operations, the strength of those operations, could we elevate performance. And when I look at the manufacturing operations of O-I, I can say to you that I'm seeing the best performance capability -- ability to execute in more than two decades. So our capability such that it give us the confidence we can deliver on performance improvement, we've been doing so for the last few years and there is still room for improvement, and we have very good plans in place to do that.
Operator: The next question comes from Anthony Pettinari with Citi.
Anthony Pettinari: Good morning, Andres, John. Can you give any detail on the current NatGas hedging position now, you were obviously able to hedge well ahead of a NatGas spike in Europe that's lapsed. Can you talk about your current position and then maybe somewhat related, you know, there was another glass producer who talked about Mexico Energy as a major headwind in ‘24 that they expect to recover contractually in ‘25. I'm not sure if that's specific to that producer or if there's anything you'd call out from the Mexico side as well.
John Haudrich: Yes, I can address both of those, thanks Anthony. First on our NatGas, it's not a hedge, it's long-term contracts just for some detailed clarity there. Again for everybody's benefit, we had entered into very favorable long-term energy agreements before the run up in natural gas, before the Russia-Ukraine engagement or confrontation. So that's when the natural gas prices were, call it EUR20 to EUR25 per megawatt hour. And those contractors were long term, as we included in our public filings. They continued through at a very high level of coverage through the end of 2025, okay. So as we stand here, we got two years left of those very favorable energy positions. Now, the best case scenario for us is that those contracts shielded us from very high energy prices that clearly spiked over the last two years and allowed us to benefit from that. And the best solution also is that energy prices actually trail off to more historic levels when those contracts roll off at the end of 2025. As you take a look at the forward curve, right now, granted anything can change in any given day, but you look at it right now, the forward curve for natural gas in ‘25, I mean, ‘26 and ‘27 is pretty close to what those contracts are. So we are at a pretty good advantage position right now of having to had those contracts when the prices were high, and then the timing of them rolling off right now kind of syncs up with what's -- at least how the market seeing right now is a little bit more normalization of energy prices. And then on the Mexican side, yes, you know, I think everybody's facing the same situation with the higher prices in Mexico. That is part of our total net price position that we've laid out here. And again, yes, our PAS would look to pick that up in the next year. So it's part of the natural cycle that we see.
Anthony Pettinari: And then just one quick one, if I could. There was a trade case on imports of I think wine bottles from LATAM and China into the U.S. I'm just wondering, if that's impactful to you at all, and if you could just generally talk about import dynamics into North America and any impact to O-I.
John Haudrich: Yes, I mean, obviously that's out there. We continue to monitor and look at that assertion. We can't really comment on that much further. What I would say is that North America has always faced a large amount of imports coming in from different markets, primarily Asia being one of them. And from time to time, the competitive elements of that have been challenging. So that's probably as far as we can go right now with that one.
Andres Lopez: Yes. And the -- something that we're seeing in the market is a growing concern with regards to imports of empty glass by our customers due to potential supply chain disruptions which should favor local supply and that's all primarily in the wine space.
Operator: Our next question comes from Gabe Hadji with Wells Fargo. Please go ahead.
Gabe Hadji : I wanted to talk about maybe capital intensity of the business and this year CapEx being a little bit -- thus cash flow may be a little bit depressed, but just when I look at your $400 -- excuse me, $400 million to $450 million of maintenance CapEx. And then later on in your slide presentation, you talked about $75 million to $150 million of CapEx to fund profitable growth or maintain market share, I think is what you'd call it there. I guess picking midpoint there we're talking about $500 million or so of CapEx that would be expected. And so, I guess maybe is that the right or wrong conclusion to draw from that? And then a peer announced something yesterday, they obtained financing for a pretty substantial investment here in North America. And again, just maybe as you look across your system, do you feel like it's well capitalized? I mean, I think, you probably default to yes, because your operating performance has been pretty impressive here of late given the market conditions. But just trying to think about medium term cash flow generating capability for the organization.
John Haudrich : Yes. But Gabe, this is John. I can address elements of that. First of all, in the last few years, our maintenance spending activity has ebbed and flows. Part of it has been a function of the pandemic and the ability to execute maintenance. And then more recently here with the softness that we experienced in the downtime, we've kind of been able to defer some maintenance. Because if facilities are down, you don't need to spend the maintenance dollars. So I think a more normalized one, at least for the next few years is somewhere between $400 million and $500 million of maintenance capital as we come throughout of this cycle. And it could just really depend on the timing and the health of the -- any particular asset that needs -- group of assets that need to be addressed in any given year. And then, yes, I mean, $75 million to $150 million of growth CapEx is required to keep up with, say, like a 2% kind of backdrop growth in the business. It could be kind of lumpy that's why there's a range there. Ultimately over time, we do believe that with MAGMA that brings that range down because the capital intensity of that solution is better than the legacy systems. But one thing I'd also want to point, as we think about just general CapEx, I mean just general cash flow is I believe that there's trapped free cash flow in the business right now. Probably close to $200 million of trapped cash flow in the sense that our volumes are still well below pre-pandemic levels and returning our system back to that level probably adds $125 plus million of cash flow net of the working capital requirements. As we also indicated in the prepared remarks, we are looking at some unusually high level of tax and interest payments right now that maybe half of that $50 million, $60 million ultimately comes back. And we are also looking at probably a heavier restructuring year in 2024. So, maybe $25 million comes back. So think of the terms of more normalizing of that, but also some of this ebbs and flows of the CapEx is a broader picture.
Andres Lopez : With regards to the peer investment 6hat announcement came out, some flexibility characteristics are highlighted. Those characteristics or capabilities are commercially available. We have them in some locations in Europe and Latin America. Now as you know, our focus in North America has been optimizing our asset network. So we're doing that so we can improve returns in this business. We're focus on the margin expansion initiatives with very good opportunities in North America. We are improving the commercial conditions and we're focused on deploying MAGMA. As you know MAGMA has a number of characteristics that will create a competitive advantage that are not available today in the market. For example, it can be co-located or near located. It can be re-locatable, lower capital intensive, lower total cost of one of capabilities, which is good to deal with seasonality or economic downturns will fit in a commercial warehouse off the shelf short time to market as a result of that. So that's our focus and our first move in that direction is the Kentucky line that we are planning to startup in the middle of the year.
Gabe Hadji : Two quick follow-ups, hopefully one is on the open market business that you all referenced. I think historically speaking those are one year in nature. I'm just curious, if you can comment on the duration of that.
John Haudrich: Those are one year agreements primarily small customers mostly concentrated in Europe.
Gabe Hadji : And then John, I apologize that I missed it. You mentioned seeing a path to getting back above $3 of EPS. I don't think you put a timeframe on it. I suspect that was intentional, but just any more color around that comment.
John Haudrich: What I would say is, and we are intentional, just to be clear on the timeline is a little bit uncertain because it's a function of getting the volumes back to pre-pandemic levels. So if you take a look at our volumes, our volumes are down 12% in 2023, a 10% recovery off of that base would get us back to pre-pandemic basis, okay? We're not -- what I'm referring to here getting over $3 doesn't mean that we need to get back to the volumes of 2022. Just the volumes of 2019 for example. And if you take a look at the volume that we're getting back in 2024 call it low to mid-single digits that would still suggest that there's mid-single digits plus of volumes still to be recovered above what we're assuming in our current outlook for the business and the contribution margin that we get on the additional sales. But more importantly, bringing back the curtailment and curtail capacity and the operating leverage of that, that's at least $0.75 worth of additional earnings, potentially more when you look at the combination of those two getting back into a more normalized level. So if you take a look at the guidance that we have right now, and you look at that type of sensitivity, that's what gets you comfortable with over $3 per share.
Operator: Our next question comes from Mike Roxland with Truist Securities.
Michael Roxland : Just one quick question on pricing. Obviously, 1% net decline in selling prices. So obviously you've given back a little, just trying to understand the context of why or what's really driving the weakness in selling prices is more? Because John, you mentioned, labor is going up, inflation is still growing 3%. I guess it's growing at a slower rate relative to last year than the year before, but it's still going up. So is the price that you've given back more function of supply demand, because certainly some of your inputs still remain elevated and some are even are still going -- still increasing.
John Haudrich: Yes, I mean, I'll take a step at that one. First let's understand the context. Gross price have been up a strong double-digit over the last few years. And so, you're really looking at a great run on price. Now, when you take a look at the texture of that 1% decline that we're talking about, keep in mind there's two books of business, right? There is the long term contract business and then there's the open market business. So the long term contracted business is going up low-single digit that's passing through PAS and things like that, that's structural in place. So -- but we are seeing a low to mid-single digit decline in open market agreements and that's primarily over in Europe. And I think the biggest challenge is that we were negotiating those prices over the last few months in the backdrop of a pretty soft macro condition. And as we saw, just even in the fourth quarter in Europe volumes were down 22%. So I think what you're seeing right now is a fairly acute short term softness that will correct itself because it's substantially supply chain driven, but it also occurred at the same time that we're out in the marketplace negotiating prices. And that's why we're confident as we go and volumes more normalized over the course of the year and into the future that the competitive backdrop will improve and allow us to be able to price through inflation going forward.
Michael Roxland : Got it. Very, very helpful. Appreciate the color. And then just one quick follow-up on your European energy position, obviously, very good timing with the contract that you had in terms of you being -- in terms of those contract being able to shield you from the energy swings the last few years. You mentioned the forward curve for NatGas in 2026 and 2027 being similar to what you have currently. Why wouldn't you and maybe you have, well, but it doesn't sound like it, but why wouldn't you have extended on the contracts that you have if the pricing is similar to what you currently have? Like why wouldn't you want to you further enter into more contracts just to hedge yourself against increase in volatility in European energy?
John Haudrich: I would say that our view and we've -- it's explained further in our 10-K for details if you want to refer. We always take a five year view of energy going forward, okay? And so we will be opportunistic when we see periods when energy prices drop and things like that. We've got a great energy team, just a great energy team, and they're very sophisticated in this regard. So Mike, I would expect us to continue to layer in contracts and things over time. But we certainly, we want to be opportunistic and the good thing is the position that we have allows us to be very opportunistic because we don't really have any gun to our head because we're good for the next couple of years.
Michael Roxland : Got it. One other question if you don't mind, just any update on the Italian Antitrust Authority, what's happening there and is there any sense of timing on when it may be complete in terms their review?
John Haudrich: We are aware of the investigation by the Italian Competition Authority. We don't really comment on ongoing legal matters. I would say that O-I is committed to compliance with the laws of each jurisdiction in which we operate. Obviously, it's all part of our global code of ethics and et cetera. It's all clearly out there on our website. So we always intend to behave in accordance with our policies.
Operator: Our final question today comes from Arun Viswanathan with RBC Capital. Please go ahead.
Arun Viswanathan: Just wanted to I guess ask about maybe medium term demand outlook that you guys have for each category. So obviously, you've gone through some volatility through COVID and supply chain issues, and then destocking. So when you look at the down double-digit volumes for ‘23, I guess is there a way you can really attribute a portion of that to destocking and how much would that be? And then versus primary demand, and then when you look at maybe say ‘25, what are you expecting kind of should we think about say, 1% to 2% volume growth across your different regions? Or how do we think about how you sit now in glass? And I know it'll vary by food and beverage in different categories, so maybe that's kind of more what we're looking for.
Andres Lopez : Yes, I think one slide that will be a good reference to have is a slide number four, that is showing how consumer consumption has evolved over this period of time. You see that it started to improve back in the second quarter of 2023, while the stocking activity started to increase in Q1 2023. So the largest driver of the lower shipments for O-I has been really the stocking activity. And I will say, in the last part of the year, the second half it's been up around 80% of that. Now inventories are going back to a more normal position. We see that in beer, in NAB, and foods is already pretty much there if wine and spirits will take a little longer, but that will normalize. Now, something that shows that the interesting glass is pretty high is the high level of new product development activity. We have a pipeline at this point in time that is very large of very high probability projects is 500,000 tons. All of that will come into the stream to support demand through ‘24 and going into ‘25.
John Haudrich : Yes. One thing I would just build off of that Arun to your other question, subsequent question, what's the trajectory going forward? Obviously in the first quarter, you can see on that same chart, we do anticipate volumes be down. It's probably a transitional quarter for us and start to build off of that. Ultimately, we do, whether it's ’25 -- we don't know the timeline. We do believe that the volumes returned to pre-pandemic levels. So that again, adds another mid-single digit type of growth over what we're kind of projecting right now for this year. Most of our customers, when you hear them speak are also talking about is it at least an interim target to get volumes back to pre-pandemic levels themselves. We'll be following obviously our customer's path.
Arun Viswanathan : And then just as a quick follow up. So then, if you go to the midpoint of the range this year, that puts you around 30, 60 or so for ‘24 EBITDA. It looks like given maybe a potential path towards $3 an EPS that you'd continue to see kind of mid-single digit EBITDA growth on that low-single digit volume growth going forward. Is that kind of a fair assumption on the leverage you'd get given how well you're operating or how should we think about kind of the EBITDA growth?
John Haudrich: Yes, what I would say is back to the previous comment that to get over $3 per share or the value of getting volumes back to pre-pandemic basis that's $0.75 I had mentioned, that's anywhere between $150 million, $200 million of additional EBIT. The timing of that is the question of the -- and I believe that once you get to that you get segment profit margins that around 20% for your around 15% or so in the Americas, which again is very close to our long-term targets obviously, we got to see the volume recover and we'll follow the macros as we recover.
Operator: We have no further questions, so I'll turn the call back to Chris for closing comments.
Chris Manuel : That concludes our earnings call. Please note that our first quarter call is currently scheduled for May 1, 2024. And remember, make it a memorable moment by choosing safe, sustainable glass. Thank you.
Operator: Thank you everyone for joining us today. This concludes our call and you may now disconnect your line.